Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Partner Communications Fourth Quarter 2021 Results Conference Call. All participants are at present in a listen-only mode. . Following management's formal presentation, instructions will be given for the question-and-answer session. As a reminder, this conference is being recorded.  I would now like to turn the call over to Mr. Amir Adar, Head of Investor Relations and Corporate Project. Mr. Adar, please go ahead.
Amir Adar: Thank you and thank you to all our listeners for joining us on this conference call to discuss Partner Communications fourth quarter and annual results for the year 2021. With me on the call today is Avi Zvi, Partner's CEO; and Tamir Amar, our Deputy CEO and CFO. Avi will provide an update on Partner's business development. He will then hand over to Tamir, who will provide a detailed discussion of our quarterly and annual financial and operational results. And finally, we'll move on to the Q&A. Before we begin, I would like to draw your attention to the fact that all statements in this conference call may be forward-looking statements within the meaning of Section 27A of the U.S. Securities Act of 1933, as amended, Section 21E of the U.S. Securities Exchange Act of 1934, as amended, and the Safe Harbor provision of the U.S. Private Securities Litigation Reform Act of 1995. Regarding such forward-looking statements, you should be aware that Partner's actual results might vary materially from those projected in the forward-looking statements. Additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements are contained in Partner's press release dated February 28, 2022 as well as Partner's filings with the U.S. Securities and Exchange Commission on Forms 20-F, F-1 and 6-K, as well as the F-3 self-registration statement, all of which are readily available. Please note that the information in this conference call related to projections or other forward-looking statements is subject to the previous Safe Harbor statement as of the date of this call. For your information, this call is also being broadcast over the Internet and can be accessed through our Web site. If you have any further questions following the call, please feel free to contact me at 972-54-781-5051. I will now turn the call over to Partner's CEO, Avi Zvi. Avi?
Avi Zvi: Thank you, Amir. Good morning, everyone, and welcome to our earnings conference call. Partner ended 2021 with improvements in key financial measures, despite the ongoing COVID-19 impacts and the continued highly competitive landscape in the Israeli telecom markets.  The results reflect the importance the company places on the customer who is at the epicenter of the company's activities. We believe in transparency, fairness and attentiveness towards our customers. It is not without reason that the cellular segment consistently continues to expand its subscriber base, having exceeded the 3 million subscriber mark last quarter.  As we enter a new chapter in implementing our strategy, I am happy to provide some color on the progress that we have made as well as our ambitious targets ahead. In the cellular mobile market after reaching 30% population coverage in 2021, Partner intends to continue the accelerated deployment of the 5G sites with the aim of achieving above 40% coverage by the end of 2022.  In the fiber optics market, we're expanding the value chain as we become a dominant fiber optics infrastructure player. This major shift is based on four pillars. One, we are on track to reach about 1 million home connected by the end of 2022. We're currently at 740,000. Two, we're increasing the fiber value potential through wholesale agreements for use of Partner's infrastructure.  Three, we're strengthening our position as a leading fiber optics infrastructure provider to enterprises. And last but definitely not least, we're seizing new opportunities in the Middle East by introducing sustainable fiber optic connection solution for international communication operators. Tamir will provide more details on this shortly.  In TV services, Partner is well prepared for the expected entrance of additional international streaming services with its unique super-aggregator model. As part of our business strategy, we are investing in work environment and in workforce compensation. We are proud on the renewal of the Collective Employment Agreement for a further three years. I would like to thank Partner's Board of Directors, headed by Chairperson Osnat Ronen, for their complete backing for the measures we have taken in the past year. I would now like to turn the call over to Tamir Amar for a detailed review of our financial results.
Tamir Amar: Thank you, Avi. 2021 ended with another quarter of subscriber growth combined by growth in profit and profitability. The cellular segment achieved service revenue growth for the third consecutive quarter with higher profitability than we've achieved in the fourth quarter of 2019, prior to the COVID-19.  Early signs of the strategic shift of continued focus towards fiber optics and measures taken to improve the TV results can be seen in the fixed line segment profitability, which continued to improve and presented an increase of 35% in adjusted EBITDA compared to the corresponding quarter last year. Our cellular subscriber base increased this year by 187,000. On a quarterly basis, the subscriber base increased by 4,000 in the fourth quarter or by 23,000, excluding the fixed 12-month packages by the Ministry of Education.  The churn rate in the fourth quarter of 2021 totaled 7.9%, or 7.3% excluding Ministry of Education subscribers, compared to 7.2% in the corresponding quarter last year. The annual churn rate decreased from 30% in 2020 to 28% in 2021, bringing it to a total of seven consecutive years of declined churn rate. ARPU in the fourth quarter totaled NIS 48 compared to NIS 49 in the corresponding quarter last year. Despite the volatile impact of COVID-19 on interconnect revenues and roaming service revenues in the course of 2021, the company succeeded in maintaining a level of ARPU of NIS 48 in every quarter of 2021. Turning to the fixed line segment, the number of homes connected within buildings connected to our fiber-optic infrastructure reached 700,000 at the end of the year, an increase of 76,000 homes connected in the fourth quarter and 235,000 in 2021.  Partner’s fiber-optic subscriber base totaled 212,000 at the end of the year, an increase of 20,000 in Q4 and 63,000 over 2021. The penetration rate from potential customers in connected buildings totaled 30%, unchanged since the end of last year. As we stated in our press release today, we intend to provide international telecommunications operators with a substantial fiber optic connection between Europe and Far East by deploying additional fiber-optic infrastructure within Israel.  The  offers opportunities for new fiber-optic infrastructure solutions and we bring to the table an innovative and practical solution for the problem of potential cable damage from passing ships in the Suez Canal as well as mitigating geographical dependencies. Our strong position and execution track record led in January 2022 to the signing of the first substantial agreements for such services, and we intend to further extend this line of business in the future.  Regarding our television services, the subscriber base remained unchanged from the previous quarter and totaled 226,000. Excluding the proactive removal of certain subscribers from our subscriber base in the second quarter, the overall increase in 2021 was 15,000, mainly due to the impact of the strategic business change in TV services. Adjusted EBITDA in the fourth quarter totaled NIS 250 million, an increase of 23% compared to the NIS 203 million in the corresponding quarter last year.  Now, let us review briefly funding and investing. The acceleration of the fiber optic deployment in 2021 impacted upon CapEx payments. On an annual basis, CapEx payment totaled NIS 672 million in 2021 compared to NIS 573 million in 2020.  The company currently expects that CapEx payments will increase further in 2022, by approximately the same amount as the increase recorded in 2021, to be succeeded by a significant CapEx payments decrease in 2023, following the completion of the major phase of deployment of the fiber-optic infrastructure by the end of 2022. As in 2021, the company's continued investment in the 5G cellular network is not expected to have a significant impact on CapEx payments in 2022. The adjusted free cash flow, before interest and including lease payments, for the fourth quarter totaled negative NIS 79 million, mainly reflecting the increase in CapEx payments, an advance payment for frequency fees in the amount of NIS 55 million and the annual payment for the government-mandated fiber incentive fund.  For 2022, the impact of the expected increase in capital expenditure payments on adjusted free cash flow is expected to be offset by other factors, including the impact of the advance payment of frequency fees to the Ministry of Communications that was made in 2021. Net debt of the company was NIS 744 million at the end of 2021 compared with NIS 657 million at the end of 2020, an increase of NIS 87 million. The company's net debt to adjusted EBITDA ratio remained at 0.8 at year-end 2021. I will now be happy to open the call for questions. Moderator, please begin the Q&A.
Operator: Thank you. Ladies and gentlemen, at this time, we will begin the question-and-answer session. . The first question is from Tavy Rosner of Barclays. Please go ahead.
Tavy Rosner: Hi. Good afternoon. Thanks for taking my questions. I wanted first to touch on the fiber please. We've seen good traction. Congrats for that. I'm wondering what you -- how do you guys attribute this performance? Is it because you guys penetrated buildings that were not yet connected by your competitors? So you kind of occupied the space first, or is it your go-to market because you're branding it more than the new competitors? I'm curious to have your thoughts on that.
Avi Zvi: Thank you for the question. When you look at 2021, in 70%, maybe 75% of the new buildings we’re connecting, we are already seeing competition there. So this has been a full year of true competition, mainly between us and the IBC Group. It should be said that we reached -- we connected this year or we reached the point of 740,000. And Bezeq, which is the incumbent in Israel, just announced that they've connected 1 million. If someone would have said a couple of years ago, three years ago, that Partner and the incumbent are going to be almost the same size in the deployment of the future infrastructure, eyebrows would go up. We're feeling we're in fierce competition, but we're achieving our goals.
Tavy Rosner: Right, that's helpful. And then touching on 5G, we've seen carriers around the world kind of struggling to find a business model where they can introduce more for more. Is that something that you guys are thinking of? Because on the one hand, you're talking about kind of further investments, although not material, but I'm just starting to understand how you can monetize in a country that's so competitive? And where we're seeing carriers' kind of throw unlimited everything, so just curious to have your thoughts on that?
Avi Zvi: I think we're three, maybe four years behind the western world. We're still using or we're at the end of using triple bundling as a tool to recruit new customers and raise ARPU. If you ask me, bundling always hurts the average revenue. And what we hope we'll see in the coming months and the next couple of years will be the unbundling of communication services in Israel. If we sell the mobile communication and the fiber communication in our TV services separately, the alpha  will be higher than it is today.  Our main engines again, leaning on what I said at the beginning that we are three or four years behind, when you look at the mobile, the move to 5G because we are in very early, early steps, only 10% to 12% of our current customer base have a communication device, the mobile phone with 5G capabilities. So our main driver in the mobile will be the move from the 3G and 4G towards the 5G, and that should create additional value through revenues.  In the fiber, we're going to push on forward to reach the 1 million households by the end of the year, while keeping our share in what we paved over around 30%, which is significantly above the numbers we expected in our initial plan. When you look at TV, I think TV is going to be the exciting or the interesting arena in the next coming two years. We've said in the past, although it's not a separate business unit in Partner, it's part of the fixed line business.  Our TV business is losing money. We've entered last. We were aggressive. And while we introduced the super-aggregator as a business model, when we came to implementation, we found ourselves hungry and we moved to a more conventional packaging type of a TV provider. What we did this year or what we're doing currently is we're going back to our basic strategy, meaning we want to offer a very basic TV service at a very low price and offer it through our open TV we're using -- as you know, we're using Android as our system, offer you the applications which are growing very fast in Israel.  Amazon is already in Israel. Netflix is already in Israel. Disney announced that they are launching in May. And HBO is supposed to launch by the end of the year. So as more and more content, international content is becoming available on a direct-to-consumer business model, we feel that the platform that we're offering is becoming more and more suitable to the new way of consuming content.  I think that the current models are going to change. The big players, which are still selling TV in the old models of MCTV, are going to move, like Partner, to a more open TV, super-aggregator model. And once they do it, our advantage will be significant, because the choosing of the next TV provider will be based on other relationships rather than the content, which is the main driver right now. Did I answer your question?
Tavy Rosner: Yes, definitely. I wanted to touch on content, but you just touched on it. Historically, when you listen to Yes and HOT, I would argue that the Israeli client base is very much into Israeli content that you can't necessarily find on Netflix or other platforms. So do you think it's still relevant these days or at least to some of the population?
Avi Zvi: No. I don't know if you know, but in my previous role, I was the CEO of Reshet for 10 years, which is one of the two big broadcasters in Israel. So I know the content market relatively well. I think the reason is important for Hebrew speaking content, but it's not the driver to choose the provider anymore. I think that the original content created by Yes and HOT eventually will be available on Partner and Cellcom.  We've already seen Keshet 12, which is the biggest broadcaster in Israel, announcing a couple of months ago that they're launching their own application similar to the broadcasters in North America and offering their whole content in a separate application. I think that as this develops, we'll see the content creators, not the content financers or packages, but the creators creating their own content and providing them to every platform. I think looking forward 12 months, not two years, 12 months, the same content will be available throughout the TV providers in Israel.
Tavy Rosner: Great, thank you. Thanks for the color.
Avi Zvi: Thank you.
Operator: . There are no further questions at this time. Before I ask Mr. Zvi to go ahead with his closing statement, I would like to remind participants that a replay of this call is scheduled to begin in two hours. In the U.S., please call 1(888) 254-7270; in Israel, please call 03-925-5921; and internationally, please call 972-3-925-5921. The recording is also available on the company's Web site, www.partner.co.il.  Mr. Zvi, would you like to make your concluding statement?
Avi Zvi: Yes, thank you. I think Partner excels in the human capital of the first degree, which is equipped in particular with the flexibility and adaptability necessary for the new era and the changing conditions in both human and technological aspects. The commitment of all our employees has played a significant role in the impressive financial results we just presented. Thank you all again for joining, and we're of course at your service if you have any additional questions. Have a great day.
Operator: Thank you. This concludes the Partner Communications fourth quarter 2021 results conference call. Thank you for your participation. You may go ahead and disconnect.